Operator: [Abrupt Start] Risk Factors section of Associated’s most recent Form 10-K and any subsequent SEC filings. These factors are incorporated herein by reference. For a reconciliation of the non-GAAP financial measures to the GAAP financial measures mentioned in this conference, please see the press release financial tables. Following today’s presentation, instructions will be given for the question-and-answer session. At this time, I would like to turn the conference over to Philip Flynn, President and CEO, for opening remarks. Please go ahead, sir.
Philip Flynn: Thank you. Welcome to our year-end earnings conference call. Joining me today are Chris Niles, our Chief Financial Officer and Scott Hickey, our Chief Credit Officer. On slide two, we want to talk about our 2014 highlights. Year was another successful one for Associated. We were able to grow the balance sheet and net interest income while slightly reducing expenses. Average loans of $16.8 billion were up 7.5% from 2013; commercial and residential mortgage loans drove the growth with each category up double digits. Our fourth quarter average loans of $17.4 billion were a new high for Associated. Average deposits of $17.6 billion were up slightly from 2013 and we continue to position ourselves toward the most optimal funding mix possible. Net interest margin of 308 basis points compressed 9 basis points from 2013. Despite this, we grew net interest income $35 million due to solid earning asset growth. Non-interest income declined $23 million from 2013 and was fully attributable to the $28 million in mortgage banking income. We delivered on our commitment of flat expenses for three straight years. We were actually down $1 million from 2013. Net interest income to common shareholders was $186 million or $1.16 per share with a return on Tier 1 common equity of 9.9%. We continue to return capital to our shareholders through dividends and share repurchases. We increased our dividend on common shares for the third straight year. And during 2014 we repurchased 259 million or 14.3 million shares of common stock. In the fourth quarter, we executed two separate accelerated share repurchase programs which totaled $100 million. Now, let me share some detail on our results. Loan details are highlighted on slide three. Average loans grew $1.2 billion or 7.5% from a year ago to $16.8 billion. Mortgage lending showed strong growth in 2014 and was up $488 million or up 13%. We remain primarily an ARM lender, so 3/1; 5/1; and 7/1 ARMs accounting for approximately two-thirds of our residential mortgage portfolio. We continue to be the leading mortgage originator in Wisconsin and our mortgage servicing portfolio is approximately $8 billion. Average commercial real estate loans grew $285 million during the year. Multi-family loans continue to make up the largest segment of that portfolio. Commercial and business lending average portfolios grew by $686 million or 12% from 2013. Within this group, general commercial loans grew $258 million or 5% during the year. Manufacturing continues to be a largest contributor to C&I growth. We expect another good year of commercial loan growth in 2015. We continued to diversify our commercial loan portfolio in 2014 with growth of $259 million in oil and gas and $163 million in power and utilities. We expect continued growth in these businesses net year, although as they mature and in light of the decline in oil prices this growth rate will slow. During 2014, our home equity and installment portfolios continued to run off toward a slower rate than the previous year. Average balances declined $83 million in these two portfolios combined and we expect to see continued but slowing run off in home equity and student loans during 2015. Loan details for the fourth quarter are highlighted on slide four. Average loans grew $246 million from the third quarter to $17.4 billion. This represents growth of 1% quarter-over-quarter and 10% year-over-year. Mortgage lending accounted for over 70% of the growth this past quarter. Commercial real estate, general commercial loans, oil and gas and power and utilities were all up slightly from the third quarter. As expected, mortgage warehouse average balances were down $51 million or 13% from the third quarter. On slide five, we’d like to describe our oil and gas business in a little more detail. We’re focused on the upstream sector and all credits are secured by oil and gas reserves. Our loans are typically working revolvers and the availability of funds is determined by a borrowing base which is subject to semi-annual determinations. These are generally syndicated deals with several banks participating. Oil and gas of course are commodities and as such can experience price volatility. This is not something new. There are many ways to mitigate this commodity risk. First our borrowers typically reduced this pricing risk by entering into multi-year hedges. And in addition to pricing environment is continuously monitored and factored into redeterminations of the borrowing base. We established our oil and gas business in 2011 and have grown the book to 48 clients with more than $1 billion in commitments. At December 31, 2014, the outstanding balance of the portfolio represented about 4% of Associated’s total loan outstandings. We recently performed a stress test on this portfolio at a price of $50 per barrel for the next five years $55 per barrel thereafter without changing any other variables such as volume or costs. Valuation of oil and gas reserves is based on the present value of production over the life of the reserves. Current prices do not necessarily drive long-term valuations. Our stress test identified eight credits with potential loss content. As of the end of the year, we had quantitative and qualitative loan loss reserves specifically describe to oil and gas portfolio in excess of 135% of those identified potential losses. The stress test did not involve a modeling of the risk rating migration within the portfolio, just the potential losses. Upon the semi-annual borrowing base redetermination news likely, we’ll see some level of negative migration in ratings if the current pricing environment continues. This could mean some volatility in provisioning during 2015 as we adjust market pricing of the portfolio. More information on oil and gas business is available on our investor relations site where we posted a presentation on the topic in December. Slide six reflects the trends that we’ve seen in our commercial line utilization. Commercial and business lending utilization declined 60 basis points from the third quarter. Fourth quarter utilization is up about 6% compared to last year. Recent declines in mortgage rates obscured refinance activity and have driven the mortgage warehouse utilization rate to 52% compared to 29% at the end of 2013. Commercial real estate line usage of about 58% was down slightly from the prior quarter as we saw higher payoffs driven by completed construction projects which refinanced at year-end. In the fourth quarter, we added more loans in our REIT business, which typically have lower utilization rates than our existing commercial real estate book. Moving to deposits and funding, average deposits $17.6 billion for 2014 were up 1% from last year. Money market, checking and savings products grew by $471 million or 3% from 2013, accounting for the majority of our funding and averaged $11.8 for 2014 with the weighted average cost of just 15 basis points. Time deposits, our most expensive source of deposit funding continued to decline during 2014 to an average balance of only $1.6 billion. During the fourth quarter, we issued $250 million of 2.75% five year senior notes and $250 million of 4.25% 10 year subordinated notes. This transaction decreased total net interest margin by about 5 basis points in the quarter. And going forward, the carrying cost will be around 10 basis points. With this new funding in place, we expect to call our $430 million 5.8% senior notes in February of 2016. In 2015, we expect to grow deposits in relation to loan growth to maintain a loan to deposit ratio under 100%. At the end of the fourth quarter, that ratio was 94%. Turning to slide seven, net interest income continued to grow and was up $2 million from the third quarter and $8 million from a year ago. 2014 total net interest income of $681 million was up $35 million or 5%. Net interest margin for the fourth quarter was 3.04%, down two basis points from the prior quarter. The average yield on commercial and business lending loans increased 22 basis points from the third quarter to 3.5% where this increase was impacted by interest recoveries and prepayment fees of nearly $5 million in the fourth quarter. The interest recoveries and prepayment fees added 8 basis points to the net interest margin. On the liability side, we continued to manage interest expense with flat year-over-year interest bearing liability costs. In the fourth quarter, the cost of interest bearing liabilities increased 6 basis points and was primarily driven by the carrying cost of the debt we issued in November. We’ve kept interest bearing deposit cost and earned 20 basis points during 2014 of borrowing deposits over the last three quarters. For 2015, we expect to grow net interest income while NIM continues to modestly compress. Turning to slide eight, talking about non-interest income. In 2014 we had $290 million which was down $23 million from the prior year. Driving the decline was the $28 million reduction in net mortgage banking income from last year. 2013 mortgage banking income benefited from $1.2 billion more loans originated for sale, higher gains on sale and almost $15 million in MSR recoveries. Core fee based income was up slightly in 2014 as increases in insurance and retail brokerage fees more than offset declines in service charges and card income. We expect the Ahmann & Martin acquisition to add approximately $25 million to non-interest income in 2015, which would equate to mid to upper single digit growth overall. Turning to slide nine, fourth quarter non-interest income was down %5 million from the last quarter. Mortgage banking income declined $4 million from the third quarter and this decline was related to the 35 basis-point drop in the 10 year treasury note from September 30th to December 31st. This rate drop resulted in a lower gain on sale as margins tightened and also impacted the MSR valuation reserve to a lesser extent compared to the prior quarter. Annual non-interest expense is highlighted on slide 10. We delivered on our commitment to keep expenses flat in 2014. They actually declined slightly to $679 million. We were able to this while making significant investments in technology and facilities. Technology spend of $80 million increased $5 million from 2013 but this increase was entirely offset by $7 million reduction in personnel. This highlights our strategic focus on implementing technology solutions to replace labor intensive processes. FTEs have declined almost 12% since 2011. FDIC expenses were up $4 million in 2014 as growth in loans outstanding contributed to the higher FDIC charges. With our credit metrics continuing to improve, foreclosure and OREO expenses declined by a third from 2013 to about $7 million. Business development and advertising expenses were up $3 million in 2014 as we began our new “Challenge Your Bank” advertising campaign. In this rate environment, we remain focused on efficiently managing our personnel costs, continuing our technology investments and reducing other costs across the organization. Absent the Ahmann & Martin acquisition, we expect 2015 expenses to be down slightly. Factoring in the acquisition, we expect expenses to be under $700 million for the year. Slide 11 shows that non-interest expense for the fourth quarter was flat to the prior quarter and down $7 million from last year. Personnel expense of $97 in the fourth quarter was down $4 million from last year as FTE reductions have begun to translate into cost savings. The Company’s 2014 tax expense increased by $6 million as income grew and the effective tax rate remains largely unchanged at approximately 31%. Going forward, we expect marginal tax rate to climb in at low 30s as earnings continue to improve. On slide 12, credit quality continues to be a positive story. Net charge-offs of only $4 million were up $2 million compared to the last quarter. Our C&I book charge-offs have fallen to 9 basis points compared to 38 basis points a year ago. Potential problem loans declined $30 million this past quarter; at $190 million, this balance is 19% lower than a year ago. The level of non-accrual loans to total loans also continues to improve and it’s just over 1%, down from 1.07%. Fourth quarter non-accrual loans of $177 million are down 4% from last year. Our total allowance for loan losses equaled to 151% -- 1.51% of total loans and covers 150% of period end non-accrual loans. The provision for credit losses was $5 million in the fourth quarter, $16 million for the full year. We expect provisioning to increase in 2015 along with loan growth and potential changes in credit quality. I’d like to provide a little more detail on slide 13 on the acquisition that we announced last week. We’ve known the management team at Ahmann & Martin for several years which helped in negotiating this transaction. We view this deal as a way to add more scale to our insurance business and balance our fee categories by adding more commercial property and casualty expertise. We also believe this will provide more cross-sell opportunities with our corporate and commercial banking customers. This is a stock transaction valued at approximately $48 million with contingent considerations of approximately $8 million. And we expect the deal to close in February. This transaction is not expected to have a material impact on our earnings in 2015 or 2016 but is expected to become accretive in 2017. So on slide 14, we’d like to recap our 2015 outlook. We’re expecting high single-digit average loan growth, similar to what we had in 2014. Average deposits and other funding should grow with assets while we maintain a loan to deposit ratio on under 100%. We expect 2015 first quarter net interest margin to be approximately 2.95%, thereafter NIM will compress modestly throughout the year. As discussed earlier, the Ahmann & Martin acquisition will increase non-interest income and expense in 2015. We expect total non-interest income to increase to the mid to upper single-digits; non-interest expense is expected to be in the low single digits. We expect to continue to deploy capital to our previously stated priorities. And finally, our loan loss provision is expected to grow based on loan growth, changes in risk rates or other indications of credit quality. So, with that, we’ll open it up to your questions.
Operator: Thank you, sir. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Scott Siefers with Sandler O'Neill & Partners. Please proceed with your question.
Scott Siefers - Sandler O'Neill & Partners: Good afternoon, guys.
Philip Flynn: Good afternoon.
Scott Siefers - Sandler O'Neill & Partners: Phil, I thought if you could sort of walk through the loan guidance for the year…
Philip Flynn: For the fourth quarter -- $16 million for the full year…
Scott Siefers - Sandler O'Neill & Partners: To get to single digits which would be similar to this year, I guess it implies a little bit of a reacceleration from what you saw in the fourth quarter, maybe not to a level as the first three quarters of last year but still maybe a little reacceleration? What in your mind are kind of the major puts and takes? Is that a function of maybe less drag from some of these portfolios that have been declining or is there an increased tolerance to grow some of the portfolios moderated at last quarter, how are you thinking about the kind of veiling dynamics?
Philip Flynn: Sure. So, first of all, the shape of our loan growth in the fourth quarter although on an average basis, it was somewhat lower than we’ve seen, actually came on quite strong at the end of the quarter. So, we enter the first quarter of 2015 with something on the tailwind because of the shape of the way the loans came on. We’ve had really balanced growth across our various businesses and we expect to continue that which has been a maturing business through 2014 has started to see payoffs is refilling their pipelines. So, we expect strong growth in that area. The general commercial lending business, we expect to grow from. Residential right now is actually booming is probably the right word, but the decline in rates; there is a lot of activity there now. A lot of that will be sold on but our desperate mortgage portfolio of business, we expect to continue to grow the nice cliff. The rate of pay-down in the home equity business has slowed and will continually think to slow. We’ll probably have less growth in the oil gas business until transactions begin to occur in that business as buyers and sellers adjust the new price expectations. But given the growth in the other businesses, we still feel pretty comfortable that we’re going to achieve loan growth that we go similar to what we just saw.
Scott Siefers - Sandler O'Neill & Partners: Okay. That’s helpful color. And I appreciate it. Maybe second question is for Chris. I guess fee income kind of came in a little late of what I have been looking for. Is there anything unusual that heard any of the line items like in mortgage banking or anything? In other words, anything you would consider one-time in there?
Chris Niles: Certainly we had lower gain on sale and lower income in the mortgage banking line as a whole that was a largest shortfall for the quarter. You also saw a downtick in asset gains which aren’t recurring but again on period to period basis, they were down. So, I don’t think there is sort of non-recurring number that I point to. There was a small charge we took for an insurance business that was $1 million that obviously was a one-time charge that won’t come back. But I think our guidance that we gave you for the full year reflects the fact that we expect business to stabilize, normalize and grow at a reasonable pace into next year.
Scott Siefers - Sandler O'Neill & Partners: Okay, all right. I think that’s it for me. So, thank you.
Chris Niles: Sure.
Operator: Thank you. Our next question comes from the line of Dave Rochester - Deutsche Bank. Please proceed with your question.
Dave Rochester - Deutsche Bank: Hey, good afternoon guys. Just quickly on capital. TC ratio is now around 7%. How long do you feel that you can take this ratio? Over the next year, you’re obviously seeing continued -- do you see growth in the loan portfolio and you’ll be I would imagine repurchasing shares; what’s maybe a lower balance for that ratio longer term?
Philip Flynn: We’ve publicly pronounced at a day that you’ll recall a range of Tier 1 capital ratios from 8 to 9.5; we’re at 9.74 on Tier 1 common, still comfortably above that. And we continue to chop away it as way move to of course to 2015. That doesn’t mean we’ll be as concerted as share re-purchaser but we’re going to follow our stated capital priorities; fund our growth, obviously that’s a best use of our capital; pay a competitive dividend; look for acquisitions and in the absence of acquisitions, we’ll probably continue to do a modest amount of share repurchase.
Dave Rochester - Deutsche Bank: Is there any level that you’re looking at for the TC ratios specifically or you’re just more focused on a regulatory ratios?
Philip Flynn: We’re all about regulatory ratios.
Dave Rochester - Deutsche Bank: Got you. And then what kind of cost savings are you factoring into your expense growth guidance at this point? You mentioned expenses could be down ex the deal. I know you’re working on technology solutions to get help reduce back office. Will we see those efforts paying out this year? And I would imagine investing in growth as well but maybe could you just talk about the ups and downs there?
Philip Flynn: Sure. And I’d refer you to slides 10 and 11 in the graph that shows our FTE count. I think as we’ve talked on previous calls, there’s been a lot of noise in our personnel expense lines, a lot of that because of severance costs. But as you can see, we’ve become more efficient through these technology investments and have been able to reduce some of the labor costs. As that coming to an end and the noise that flows through, the expense line comes to an end, the financial benefit of having less FTEs starts to come to the floor. So, we will see the pickup that you would expect with having from the peak of employment here to where we are today of a reduction of about 15%, you’ll start to see that. So, that’s a big driver.
Dave Rochester - Deutsche Bank: Got you. And then just a little housekeeping item, the $5 million in prepayment healthy income and interest recoveries, what was the split of that this quarter and what was the total balance last quarter?
Philip Flynn: It was de minimis last quarter. This quarter, there were two related power transactions which paid off fixed rate loans and took their -- get to the bond market for refinancing. So, there was between $3.5 million to $4 million of gains on those two transactions alone, then the interest prepayments and other sales were not as significant.
Dave Rochester - Deutsche Bank: Great, all right. Thanks guys.
Operator: Thank you. Our next question comes from the line of Emlen Harmon with Jefferies. Please proceed with your question.
Emlen Harmon - Jefferies: Hey, good morning guys.
Philip Flynn: Good afternoon, not morning.
Emlen Harmon - Jefferies: I’m sorry. Sort of just a real quick one. What was the absolute level of the MSR valuation charge and how much of a difference was that relative to the third quarter?
Chris Niles: Yes, it was in the grand theme of things -- the overall valuation -- I guess I’ll draw your attention to the page four of the table, didn’t change that much. The impact of the charge was just over 2.
Emlen Harmon - Jefferies: Just over $2 million?
Chris Niles: Yes.
Emlen Harmon - Jefferies: Got you, okay…
Chris Niles: Let me state that. I apologize. The valuation to give -- that line didn’t change basis points but in dollar term there was a change quarter-over-quarter. It was less than $1 million.
Emlen Harmon - Jefferies: Got it, okay. Thank you. And then just looking at the guide this year compared to last year, the provision guide this indicates that probably [ph] could be driven changes in risk rate whereas last year, it was more a function of growth. Is that change specific to your commentary on energy or are you seeing trends also on the portfolio that are kind of causing you to be a little bit more cautious?
Scott Hickey: Yes, this is Scott. I think we don’t see a lot in the portfolio fundamental changes in risk rating. Given the volatility in the oil prices we may in the first half see some volatility in risk ratings depending on the redeterminations. But the core portfolio has been pretty stable to improving.
Emlen Harmon - Jefferies: Got it, okay. And then just one last one on the [indiscernible] portfolio, how long oil need to be below $55 before it starts to imply kind of more meaningful potential losses on that reserve book? I know that obviously you guys have different calculations on the life of the reserves for a number of those projects but just to be curious how time plays in the fact in your kind of provisioning thought process.
Scott Hickey: So, if you look at most of our customers, as you’d expect all well hedged through 2015 at fairly robust prices relative to the high 40s. So, we don’t see a lot of stress from that perspective and in fact a number of them are hedged into ‘16 as well. So, short, short term, we don’t see a lot of stress, again some risk weighting migration. But we did our model holding oil at $50 for five years and we see some de minimis losses, if they stayed at that level for five years. And again, we’ve got about 135% reserve against what that expected loss could be at that level.
Emlen Harmon - Jefferies: Got it, all right. Very helpful, thank you.
Philip Flynn: Yes. So, just to -- this is Phil, just to add to that. What we see in our oil and gas reserve secured business which again is entirely what we do, no service companies, no midstream, no refining. In that business, as a secured lender, we really think that the risk is some volatility in provisioning and little if any loss. That’s our forecast as we sit today.
Operator: Thank you. Our next question comes from the line of Chris McGratty with KBW. Please proceed with your question.
Chris McGratty - KBW: Hey guys, good afternoon.
Philip Flynn: Good afternoon.
Chris McGratty - KBW: Hey Phil, on M&A, really talked about M&A really much but we’re seeing it kind of hop up kind of all sizes across the country. Obviously 2014 was a year of buybacks. Can you talk about how much time and effort M&A is in terms of priority for you guys entering the year?
Philip Flynn: Well, it’s hard to -- I’d say in the last six months between [indiscernible] we have spent a decent amount of our weeks spending time visiting folks. So, we’re dedicating a meaningful amount of time to talking to potential merger partners, potential acquisition partners.
Chris McGratty - KBW: And is the -- other conversations I think a while back was kind of the smaller banks across the street for the cost savings, have you change it all how was in terms of what you think about something larger in terms of getting some initial scale or particular that might be of interest? Thank you.
Philip Flynn: Yes, we haven’t changed our priorities as to what we’re looking for. We still believe that an efficiency driven acquisition is the safest and best for our shareholders and that’s what we continue to be focused on. And we’re looking for opportunities where we can expand any local market and do it on an efficient basis.
Chris McGratty - KBW: Okay, thanks.
Operator: Thank you. Our next question comes from the line of Jon Arfstrom with RBC Capital Markets. Please proceed with your question.
Jon Arfstrom - RBC Capital Markets: Hey, thank you. Good afternoon guys.
Philip Flynn: Good afternoon.
Jon Arfstrom - RBC Capital Markets: Just a couple of more energy questions. It sounds like you haven’t pulled back on your appetite at all. Is that right?
Philip Flynn: Yes, we haven’t pulled back on our appetite; recognize the fact that everybody’s pricing assumptions have changed. And this is basically built upon transactions occurring out there in the oil pads. So, at this point buyers and sellers have not adjusted to the new realities of where oil prices are. So, I don’t think buyers are willing to pay at old prices and sellers are not yet prepared to sell at new prices. So, there is always a period of transition when prices like this change before we reach equilibrium in the market, people have a better sense of where they should -- at what prices they should transact business. That will clearly slow down the financing opportunities across bank land for some period of time.
Jon Arfstrom - RBC Capital Markets: Okay, got you. And you may have just answered this but any way to gauge a change in the competitive environment or is it just there aren’t any deals and we don’t know yet?
Philip Flynn: I think it’s the latter. I mean there really aren’t a lot of transactions going on right now.
Jon Arfstrom - RBC Capital Markets: Okay.
Philip Flynn: As you would expect. And the one thing about this business which is interesting, the banks that are active in it, they all tend to look at transactions in very similar ways. It’s not like the lab training [ph] business or the general commercial business where people take different views and are willing to take a flyer on terms or tenure or pricing. The business tends to be somewhat homogenous across the banks that are active in it. So, you don’t really tend to get outliers who decide well it might be 47 a day but I think it’s going to 80, so I’m going to need money at 80. You are not going to see that.
Jon Arfstrom - RBC Capital Markets: Okay, great. I appreciate the help on the stress testing you’ve done. And I guess when you talk about risk rate, this is just formulaic. If something is downgraded you have to put up the reserve even though you don’t necessarily believe there is a loss content that’s what you’re saying?
Philip Flynn: Well, the accountants would be very angry if I said that way. Whatever we provide is for losses that we think are there. But you’re correct in that there is a mechanical way of calculating provisioning based on risk rate.
Jon Arfstrom - RBC Capital Markets: Sure. Touchy-feely question on energy for you Phil. You did put on every list as having energy exposure, probably wrong. Is it fair or unfair, if you like you’re unfairly lumped in let’s say Texas regional banks that have energy exposure?
Philip Flynn: Well, I think it’s certainly fair to say we have energy exposure. I mean it’s really important to realize that at our bank at least it’s 4%. And we’re also not exposed to any knock on effects from a slowdown in the energy business. We’re not a real estate lender in Houston or in North Dakota. So, we’re not going to get that type of impact if this stays this way for a prolonged period of time. But we are a lender to the oil and gas business. And I’d remind anyone who doesn’t recall this that although Associated started the business in 2011 myself and the people run this business have been in it for upto 35 years. This is how I started this bank. So, I’ve seen a lot of price volatility in the last 35 years. And I’m personally not overly concerned about what we have today, given the nature of our portfolio.
Jon Arfstrom - RBC Capital Markets: Okay that’s helpful. And just Chris, maybe this is for you, but on the Ahmann & Martin deal, no real accretion in 2015, I believe you said. Is that just a function of the accounting and in 2016 as well as just the heavy amortization early on?
Chris Niles: Exactly. And we did note there was upto $8 million in terms of payment and assuming everything works out, we’ll be delighted to make those additional payments in full but if they do, they will offset the accretion.
Jon Arfstrom - RBC Capital Markets: Okay, so a lot of it is just accounting?
Chris Niles: Yes. On a cash basis this is a positive transaction all the way along.
Jon Arfstrom - RBC Capital Markets: Yes.
Chris Niles: Finance expenses, but there is accounting issues there.
Jon Arfstrom - RBC Capital Markets: Yes. Okay, great. Thanks for your help.
Operator: Thank you. [Operator Instructions]. Thank you. Our next question comes from the line of Stephen Geyen with D.A. Davidson. Please proceed with your question.
Stephen Geyen - D.A. Davidson: Hey, good afternoon.
Philip Flynn: Hi.
Stephen Geyen - D.A. Davidson: Just curious about the asset yield compression, I think it was about 5 basis points this quarter. Anything in particular that drove that in large re-pricing that you don’t expect to reoccur?
Philip Flynn: Yes. I think looking at the quarter-over-quarter trends on page seven of the tables, I would note we had a positive re-pricing but there were 8 basis points of prepayment fees and recoveries that positively drove the commercial and business lending numbers. You’d sort of bow that back and it’d be about flat. And that’s probably about what we’re assuming we think essentially and I think we said this last year. The large portfolio has largely re-priced at this point in time. There will be some modest compression as we move through the course of the year but it’s essentially getting down to about what we think it will be, assuming rates don’t move.
Stephen Geyen - D.A. Davidson: Okay. I was just looking at the asset compression ex the recoveries and prepayments and that’s already came up at the 5 basis points. Okay. And then, maybe just housekeeping item, as far as the effective tax rate is right around 31%, is that likely to continue into 2015.
Philip Flynn: I think as we continue to grow earnings that number will continue to marginally go up. So, we encourage you to think about it moving higher.
Stephen Geyen - D.A. Davidson: Okay. And just I guess one clarification, Ahmann fee income and nothing as far as earning assets?
Philip Flynn: Yes, it’s an insurance brokerage.
Stephen Geyen - D.A. Davidson: Got it. Okay, thank you.
Operator: Thank you. We have no further questions in queue at this time. I would like to turn the floor back over to Phil Flynn for closing remarks.
Philip Flynn: Thanks. And thank you everyone for joining us today. 2014’s strong performance was highlighted by balance sheet growth as well as higher net interest income. We were able to modestly reduce expenses and grow the bottom-line. So, we’re optimistic in our ability to continue to grow our franchise this year and remain focused on deploying capital to build shareholder value. So, thanks again for being on the call. We look forward to talking to you again in three months. And thanks for your interest in Associated.
Operator: Ladies and gentlemen, this concludes the Associated Banc-Corp fourth quarter 2014 conference call. You may disconnect your lines at this time and thank you for your participation.